Kim Callahan: Good morning. And welcome to Camden Property Trust Fourth Quarter 2022 Earnings Conference Call. I am Kim Callahan, Senior Vice President of Investor Relations. Joining me today are Ric Campo, Camden’s Chairman and Chief Executive Officer; Keith Oden, Executive Vice Chairman and President; and Alex Jessett, Chief Financial Officer. Today’s event is being webcast through the Investors section of our website at camdenliving.com and a replay will be available this afternoon. We will have a slide presentation in conjunction with our prepared remarks and those slides will also be available on our website later today or by e-mail upon request. [Operator Instructions] All participants will be in listen-only mode during the presentation with that opportunity to ask questions afterwards. And please note this event is being recorded. Before we begin our prepared remarks, I would like to advise everyone that we will be making forward-looking statements based on our current expectations and beliefs. These statements are not guarantees of future performance and involve risks and uncertainties that could cause actual results to differ materially from expectations. Further information about these risks can be found in our filings with the SEC and we encourage you to review them. Any forward-looking statements made on today’s call represent management’s current opinions and the company assumes no obligation to update or supplement these statements because of subsequent events. As a reminder, Camden’s complete fourth quarter 2022 earnings release is available in the Investors section of our website at camdenliving.com and it includes reconciliations to non-GAAP financial measures, which will be discussed on this call. We hope to complete our call within one hour and we ask that you limit your questions to two, then rejoin the queue if you have additional items to discuss. If we are unable to speak with everyone in the queue today, we would be happy to respond to additional questions by phone or e-mail after the call concludes. At this time, I will turn the call over to Ric Campo.
Ric Campo: Our theme for today’s on-hold music was waiting patiently, which is what we find ourselves doing these days. The bid ask spread for multifamily assets is as wide as I can ever recall. Sellers seem to be hoping for valuations to return to last year’s peak. Some sellers acknowledge a decline in valuations of 10% to 15%, but buyers point to a dramatically different macro backdrop now versus last year and reckon value should be lower. The result is the current standoff that won’t be resolved until buyers and sellers adjust their views on valuation and meet somewhere in the middle. Until then, we wait patiently, which is a lot easier for Keith to do than me. This brief video sums up the hours that Keith and I have spent in recent months debating the merits of waiting patiently versus making something happen now. [Video Presentation] By any measure, 2022 was the best operating environment Camden has had in our 30-year history. We exceeded the top end of our guidance and raised guidance every quarter. Operating conditions over the last two years have never been better, driven by being in the right markets with the best product and having the best teams. Apartment demand was driven by an acceleration of in-migration to our markets that open sooner after the pandemic and continue to be more business-friendly driving outsized job opportunities. And a massive release of rental demand from people who were previously at home with their parents or doubled up as government stimulus added to their savings and subsequent buying power, as a result, apartment supply could not keep up with increased demand. 2023 will be a return to a more normal housing demand market. Consumers still have excess savings and the job market remains strong. Despite rising rents, apartments remain more affordable than purchasing homes for many consumers in our markets given the rise in home prices and interest rates. Most of us don’t like slowing revenue or negative second derivatives, but I think we need to put things into perspective. Apartments are and will continue to be a great business. Consumers will always need a place to live and will choose high quality, well-managed properties to live in. We are projecting 5.1% revenue growth for 2023, absent coming off last year’s 11.2% record breaking growth, our 2023 projected revenue growth would be the sixth highest growth rate achieved over the last 20 years for Camden. At this point, I’d like to give a big shout out to our Camden teams across America for a job well done in 2022, and I want to thank them for improving their teammates lives, customer’s lives and stakeholder’s lives, one experience at a time. And I will let Keith take over the call now. Thank you.
Keith Oden: Thanks, Ric. As many of you know, we have a tradition of assigning letter grades to forecast conditions in our markets at the beginning of each year and ranking our markets in order of their expected performance during 2023. We currently grade our overall portfolio as an A- with a moderating outlook as compared to an A with a stable outlook last year. Our full report card is included as part of our earnings slide call slide deck, which is now showing on the screen and will be posted on our website after today’s call. At this time last year, we anticipated 2022 same-property revenue growth of 0.83% [ph] at the midpoint of our guidance range. As we announced last night, Camden’s overall portfolio achieved same property revenue growth of 11.2% for 2022, well ahead of our original expectations and marking a record level of same-property revenue growth for our company. While conditions are expected to moderate during 2023, our outlook calls for same-property revenue growth of 5.1% at the midpoint of our guidance range, which would mark another year of above long-term average growth for our portfolio. We anticipate same-property revenue growth to be within the range of 4.1% to 6.1% this year for our portfolio, with most markets falling within that range. The outliers on the positive side should once again include our three Florida markets, Orlando, Southeast Florida and Tampa, with Houston and LA, Orange County falling likely below 4%. The macroeconomic environment today is uncertain and the magnitude of 2023 job growth or even job losses remains a wildcard, but we expect our Sunbelt focused market footprint will allow us to outperform the U.S. outlook. We expect to see continued demand for apartment homes in 2023, given high mortgage rates for single-family homes and a reluctance from would-be buyers to make the transition to homeownership amidst this uncertain economic environment. We reviewed several third-party forecasts for both supply and demand in our markets for 2023, and the outlook for recession scenarios and job growth or job losses varies dramatically. As such, I will spend my time today focusing more on the supply aspect and expected completions and deliveries in our 15 major markets this year. Those estimates also vary quite a bit, but our baseline projection assumes approximately 200,000 new completions across our markets during the course of 2023. Our three Florida markets, Orlando, Southeast Florida and Tampa once again earned A+ ratings but with moderating outlooks. These three markets had a weighted average revenue growth of 16.4% in 2022 and are budgeted to achieve between 6% to 8% this year. Overall, supply will likely increase in these markets and we expect completions of 12,000, 11,000 and 6,000 units, respectively. Charlotte, Raleigh and Nashville would rank next with an A rating and moderating outlooks for 2023 versus 2022. This will be our first year of reporting same-property statistics for Nashville, but we anticipate same property revenue growth of 5% to 6% for each of these three markets. New supply will continue to be a headwind this year, particularly in Nashville, but in-migration trends and overall levels of demand remain strong. Our estimates for new deliveries in these markets are 11,000, 9,000 and 10,000 units, respectively. Up next are Dallas and Phoenix, which received A- ratings with stable outlooks. Dallas should deliver around 20,000 units this year, but so far demand drivers remain strong and should allow for absorption of many new apartment homes. Phoenix is likely to see another 15,000 units completed this year, which will further temper revenue growth from double-digit levels to a more moderate rate of 5% or so. We expect Denver and Austin to fall around the middle of the pack for our portfolio with approximately 5% revenue growth and would rate them as an A- with moderating outlook, completions in Denver are projected to be around 15,000 apartments and in Austin is expected to see over 20,000 new apartments come online this year. Both of these markets have seen their fair share of supply in the past few years, but demand has been remarkably strong. Given recent announcements regarding layoffs in the technology sector, we will keep an eye on both of these markets for any future signs of slowing demand. Our next three markets, San Diego, Inland Empire, Washington, DC Metro and Atlanta earned a rating of B+ with a stable outlook. We expect completions of 10,000, 15,000 and 13,000 units, respectively, and revenue growth in the 4% to 4.5% range. San Diego Inland Empire should face less supply pressure than some of our other markets this year, but the overall regulatory environment in Southern California puts us in a wait and see mode for now. Operations in Washington, DC Metro and Atlanta seem to be more of the same and should continue at a steady, stable pace throughout 2023. Houston and LA, Orange County are two last markets with grades of B and B-, respectively, and revenue growth projections of 3% to 4% this year. Our outlook for these two markets are a bit different as we see an improving outlook in Houston versus a stable outlook in LA, Orange County. Both markets should see manageable new deliveries with 15,000 and 20,000 units, respectively, but economic conditions in Houston may be a bit more resilient with energy companies making profits and performing well. LA County was clearly -- has clearly had higher delinquencies and bad debt compared to our other markets, and we remain a bit cautious on when restrictions and regulatory issues around addictions and non-payment of rents will actually begin to improve. Now a few details of our fourth quarter 2022 operating results in January 2023 trends. Same-property revenue growth was 9.9% for the fourth quarter and 11.2% for full year 2022. Nine of our markets had revenue growth exceeding 10% for the quarter and our top three performers were our Florida markets of Tampa, Southeast Florida and Orlando. Rental rates for the fourth quarter had signed new leases up 4% and renewals up 8.4% for a blended rate of 6.1%. Our preliminary January results indicate a return to more normal seasonal trends with a blended growth of 4.2% on our signed leases to date. February and March renewal offers were sent out with an average increase of 8%. Occupancy averaged 95.8% during the fourth quarter of 2022, compared to 96.6% last quarter and 97.1% in the fourth quarter of 2021. January 2023 occupancy has averaged 95.4%, compared to 97.1% in January 2022. Annual net turnover for 2022 was up slightly compared to 2021 at 43% versus 41%, and move-outs to purchase homes were 13% for the quarter and 13.8% for the full year of 2022, down from 16.4% for the full year of 2021. I will now turn the call over to Alex Jessett, Camden’s Chief Financial Officer.
Alex Jessett: Thanks, Keith. Before I move on to our financial results and guidance, a brief update on our recent real estate activity. During the fourth quarter of 2022, we completed construction on Camden Atlantic, a 269 unit, $100 million community in Plantation, Florida, which is now almost 90% leased, averaging over 50 leases per month, well ahead of expectations. Turning to financial results, last night we reported funds from operations for the fourth quarter of 2022 of $191.6 million or $1.74 per share, in line with the midpoint of our prior quarterly guidance. These results represent a 15% per share increase in FFO from the fourth quarter of 2021. Included within our fourth quarter 2022 results is approximately $0.01 per share of additional insurance expense associated with the recent winter freeze. Excluding these non-recurring insurance charges, our results would have exceeded the midpoint of our prior guidance range by $0.01 per share resulting from the faster than expected leasing velocity at Camden Atlantic, combined with lower employee health insurance claims and lower property tax rates in Texas. For 2022, we delivered record same-store revenue growth of 11.2%, expense growth of 5.1%, which included the additional insurance expense from the winter freeze and record NOI growth of 14.6%. You can refer to page 24 of our fourth quarter supplemental package for details on the key assumptions driving our 2023 financial outlook. We expect our 2023 FFO per share to be in the range of $6.70 to $7, with a midpoint of $6.85, representing a $0.26 per share increase from our 2022 results. This increase is anticipated to result primarily from an approximate $0.36 per share increase in FFO related to the performance of our same-store portfolio. At the midpoint, we are expecting same-store net operating income growth of 5%, driven by revenue growth of 5.1% and expense growth of 5.5%. Each 1% increase in same-store NOI is approximately $0.07 per share in FFO. An approximate $0.26 per share increase in FFO related to the additional NOI from our Fund acquisition we completed on April 1, 2022. This includes the additional three months of ownership in 2023 and an approximate 6% increase in NOI from the portfolio. And an approximate $0.16 per share increase in FFO related to the growth in operating income from our development, non-same-store and retail communities, resulting primarily from the incremental contribution from our nine development communities in lease-up during either 2022 and/or 2023. This $0.78 cumulative increase in anticipated FFO per share is partially offset by a $0.21 per share increase in interest expense, of which $0.08 per share is from the utilization of our unsecured credit facility to retire our $350 million, 3.2% unsecured bond that matured on December 15, 2022. We are anticipating an average 2023 interest rate on our credit facility of approximately 5.5% and $0.10 per share from the full year impact of the $515 million of secured debt we assumed as part of the Fund transaction, inclusive of the impact of higher interest rates on the $185 million of assumed variable rate debt. The remaining $0.03 per share in additional interest expense comes from additional borrowings in 2023 under our line of credit primarily to fund are anticipated development activities. Our forecast also assumes we will use our credit facility to repay our $250 million, 5.1% unsecured bond, which matures in June of 2023. An approximate $0.07 per share decrease in FFO related to our 2022 amortization of net below market leases related to our acquisition of the Fund Assets. As we discussed on prior earnings calls, purchase price accounting required us to identify either below or above market leases in place at the time of the acquisition and amortize the differential over the average remaining lease term, which was approximately seven months. Therefore, in 2022, we recognized $0.07 of FFO from the non-cash amortization of net below market leases assumed in the acquisition. An approximate $0.07 per share decrease in FFO related to equity and income of joint ventures and management fees as we now own 100% of the Fund Assets; an approximate $0.06 per share decrease in FFO resulting primarily from the combination of higher general and administrative and property management expenses caused by continued wage pressure and inflation, higher franchise and margin taxes and higher corporate depreciation and amortization; an approximate $0.06 per share decrease in FFO due to the additional shares outstanding for full year 2023, resulting primarily from our 2022 equity activity; an approximate $0.04 per share decrease in fee and asset management and interest and other income, primarily related to the earn-out received in 2022 from the sale of our Chirp investment and lower cash balances expected in 2023; and an approximate $0.01 per share decrease in FFO from the disposition we completed in 2022. Our 2023 same-store revenue growth midpoint of 5.1% is based upon an approximate 4.5% earning at the end of 2022 and a current 1.5% loss to lease. We are assuming we capture a third of this loss lease in 2023 due to the timing of lease expirations and leasing strategies. We also expect a 3% increase in market rental rates from December 31, 2022 to December 31, 2023. Recognizing half of this annual market rental rate increase, combined with our embedded growth and loss to lease capture results in a budgeted 6.5% increase in 2023 net market rents. As a result of increased supply, we are anticipating an 85-basis-point decline in physical occupancy, which results in 100-basis-point decline in economic occupancy after accounting for lower levels of rental assistance proceeds anticipated in 2023. When combining our 6.5% increase in net market rents with our 100-basis-point decline in economic occupancy, we are budgeting 2023 rental income growth of 5.5%. Rental income encompasses 89% of our total rental revenues. The remaining 11% of our property revenues is primarily comprised of utility rebilling and other fees closely correlated to occupancy and these items are expected to grow at approximately 1.5%. Our 2023 same-store expense growth midpoint of 5.5% is primarily driven by above average increases in property taxes and insurance. Property taxes represent approximately 37% of our total operating expenses and are projected to increase approximately 6.5% in 2023, primarily driven by larger valuation increases anticipated in Florida, Georgia and Colorado. Insurance represents 6% of our total operating expenses and is anticipated to increase by 12.5% as insurance providers continue to face large global losses. The remaining 57% of our operating expenses are anticipated to grow at approximately 4% as inflation and wage pressures combined with anticipated increases in marketing expenses as we face increased supply are partially offset by the positive impact of our 2022 on-site staff restructuring. We are expecting total salaries and benefits to increase at less than 2% in 2023. At the midpoint of our guidance range, we assume $250 million of acquisitions offset by $250 million of dispositions with no net accretion or dilution. Page 24 of our supplemental package also details other assumptions for 2023, including the plan for $250 million to $600 million of development starts spread throughout the year with approximately $290 million of annual development spend. We expect FFO per share for the first quarter of 2023 to be within the range of $1.63 to $1.67. The midpoint of $1.65 represents a $0.09 per share decrease from the fourth quarter of 2022, which is primarily the result of an approximate $0.05 per share sequential increase in NOI from our development and stabilized non-same-store communities, entirely offset by an approximate $3.5 per share increase in sequential same-store expenses resulting from the reset of our annual property tax accrual on January 1st of each year and other expense increases, primarily attributable to typical seasonal trends, including the timing of on-site salary increases and the lower levels of employee health insurance claims in the fourth quarter of 2022, which are not expected to reoccur in the first quarter of 2023; an approximate $1.5 per share decrease in sequential same-store revenue primarily driven by lower levels of anticipated rental assistance proceeds and sequential declines in occupancy; an approximate $0.02 per share increase in interest expense, resulting from the utilization of our unsecured credit facility to repay the December 15, 2022 maturity of our 3.2%, $350 million unsecured bond; an approximate $0.01 per share decrease in FFO, resulting primarily from the timing of our annual corporate salary increases and various other corporate accruals; an approximate $0.01 per share decrease in FFO related to our fourth quarter 2022 amortization of net below market leases related to our acquisition of the Fund Assets; and an approximate $0.05 decline in fee income related to the timing of our third-party construction activity. Our balance sheet remains strong, with net debt to EBITDA for the fourth quarter at 4.1 times, and at quarter end, we had $304 million left to spend over the next three years under our existing development pipeline. At this time, we will open the call up to questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Steve Sakwa with Evercore ISI. Please go ahead.
Steve Sakwa: Yeah. Thanks. Good morning. I don’t know if this is for Keith, Ric or Alex, but just as you think about kind of your blended spreads and kind of looking at the new versus renewal. Could you just provide a little bit more color on the 8% number that you talked about, and what sort of, I guess, concessions or discounts are you having to offer when you are sending a mandate, are people signing at that and then also the new 1% up looks kind of low, do you expect that to turn negative at all in the next, say, six months to nine months?
Keith Oden: Yeah. On -- Steve, on the renewals that are being sent out, we really don’t do concessions in our portfolio. The only time we ever use concessions is on new lease-up properties where kind of its expected and it’s just sort of written into the pro forma and underwritten that way. But we don’t really do concessions. We sign our leases within -- and typically sign them within 50 basis points to 75 basis points of what the renewals are sent out at. So there is some give, but it’s not a whole lot. Regarding new leases, at 1% up, we do expect that to increase slightly over the course of 2023. Seasonally it looks like we do have a return to actual seasonality and did in the certainly at the end of the fourth quarter and that will likely continue until we get closer to our peak leasing season. But, overall, we are looking for another strong year of 5.5% plus or minus rent growth, which as Ric pointed out, in standalone and without kind of juxtaposition to what we did in 2022 over 11%, that would be a really strong year for our portfolio historically. So we are looking forward to that.
Ric Campo: To your second question, Steve.
Steve Sakwa: Great. Thanks.
Ric Campo: To your second question, we don’t expect our new leases to go negative at all over the next six months to nine months. Now if we have -- depending upon what happens, what unfolds throughout the year, whether we -- our feel and the way we built our guidance was that we would have either a very -- reasonable soft landing or a mile recession and so we combine that and that’s why we took our occupancy numbers down and our vacancy numbers up. But as far as new leases going negative, generally, if you look at historical sort of timing of seasonality, they tended to go negative in the -- in sort of November, December, January and then start a positive rise after that. This year, we didn’t have them go negative during that period. Now we clearly had a significant negative second derivative on growth, but we never went negative. So assuming if you have a recession next year and we have more reasonable or more normal market seasonality, then they may go negative in December. That’s just new lease growth.
Steve Sakwa: Great. Thanks, guys.
Operator: Our next question comes from Nick Joseph with Citi. Please go ahead.
Nick Joseph: Thanks. I appreciate you walking through all the different market outlooks. But if we kind of drill into Houston, LA and Orange County, three of the ones, I think, you are expecting to underperform a bit in the same markets that have underperformed at least for the past few years. So what do you need to see from those markets maybe structurally kind of going forward that would change the outlook and get them more towards the top end of the grade?
Ric Campo: Well, the challenge you have with…
Keith Oden: Well…
Ric Campo: … Southern California is that, if you look at projected popular -- projected migration from either immigration, legal immigration or domestic migration, Southern California over the next three years has almost $0.5 million -- 0.5 million people leaving. And on the other hand, if you look at Texas, including Houston, we have about -- the projections show around 350,000 of new migrations. So that’s one of the big things is you just have this drag on people moving out of those markets and moving into our markets. What could help Houston fundamentally is continued energy transition jobs that are happening here and continued strength in the oil and gas market. The oil and gas folks just to give you some numbers laid off about 80,000 people in the pandemic period and have only added back about 50. So what’s happened is as they become more efficient, even though they are printing money right now, if you look at their earnings, but they haven’t really stepped up to hire people and they become a whole lot more efficient. I think Southern California has some upside, because ultimately, when you get past the COVID measures. I mean, that’s been the biggest challenge there is you have a huge gap between economic occupancy and physical occupancy almost 1,300 basis points. And part of that -- and I think it’s all driven by the fact that in California, you don’t have to pay your rent, and so, ultimately, when that clears then which hopefully they extended it to the end of May or end of March in terms of restrictions. But, hopefully, once that ends, you will have a positive situation where you will be able to kind of run your business like a business. Today, we can’t get our real estate back and people smile as they live free and drive their BMWs and Teslas and feel pretty good about the world.
Nick Joseph: Thanks. I appreciate that. And then just on your opening comments on the transaction market, you mentioned the wide bid ask spread and kind of having some patients. Where would you by today, I guess, from a cap rate or an unlevered IRR basis, what would you be comfortable underwriting and transact and if the seller was willing to do it there?
Ric Campo: Yeah. The cap rate side is kind of hard to peg, because the question will be whether -- what we think the upside of the property is, a lot of times in five properties they are pretty poorly managed using revenue management wrong in a long-headed way, and we can create a lot of value from that. So we find properties that are stressed, you may be buying by the pound, not the cap rate and then we will be able to drive the cap rate up. In terms of unlevered IRRs, we have increased our unlevered IRR hurdles by at least 100 basis points, so given our cost of capital rise. So we would be looking at for acquisitions in the $0.07 kind of plus range on levered IRR basis.
Nick Joseph: Thank you very much.
Operator: Our next question comes from Austin Wurschmidt with KeyBanc Capital Markets. Please go ahead.
Austin Wurschmidt: Hey. Good morning, everybody. Alex, I believe you referenced a $1.5 negative impact to fourth quarter FFO from lower rental assistance and I was wondering if you expect any additional impact going forward and just what you are assuming for net bad debt for this year in your guidance?
Alex Jessett: Yeah. Absolutely. So net bad debt for us for 2023 should be right around 1.4%. When you think about rental assistance, so in 2022, on a same-store basis, we got about $11.5 million of rental assistance, and in 2023, we are assuming some but really negligible amounts. So the best way to sort of think about it is that, on a net basis, there’s not much of a change in terms of bad debt from 2022 to 2023. But if you sort of back out the positive benefits of rental assistance that we got in 2023 then we are showing, excuse me, in 2022, then we are showing some improvement in 2023.
Ric Campo: And ultimately, our bad debt is about 0.5%.
Austin Wurschmidt: Okay. That’s helpful.
Ric Campo: And that’s the challenge we have today, it’s very elevated and given the outlook for a potential recession, we are hoping that 1.4% will start going down throughout the year and then, ultimately, go back to 50 basis points number in 2024. So there’s some positive growth that can come from people actually starting to pay their rent.
Austin Wurschmidt: Yeah. Got it. Understood. And then it seemed like Houston had started to see some momentum last year sort of bucking maybe the trend of some of your other markets, given it didn’t have as difficult comps, but it is remaining at the lower end of your revenue growth expectations and market outlook. And I guess I am just curious what’s really holding back Houston from stacking up better versus other markets and is there a potential for a surprise to the upside as you move through the year?
Keith Oden: Yeah. So we have -- in our forecast, we have used 15,000 completions in Houston, which the normal year in Houston that would be seen as a positive to the overall market conditions given the size of the Houston market. Interestingly enough and Ron Witten’s number numbers, he actually has Houston job growth is basically flat or I mean zero and flat total employment over the year. And after -- it’s one of those things where we don’t necessarily agree with Ron on everything and I think it’s very possible that he’s got the -- that he has the job growth outlook he’s understated it in Houston. The Greater Houston partnership came out with numbers after Ron’s latest update that indicated Houston could be as high as 60,000 or 70,000 new jobs in 2023. That’s quite a range between zero and 70,000. So I think when we look at our modeling and he carries that over into his rental forecast, we probably tweaked Ron’s rental forecast in Houston to reflect a little bit more dynamic situation on job growth in Houston. So I think there is a chance if the energy business continues as it is right now, which is basically almost every energy company in the country in the fourth quarter reported record earnings. If that trend continues, I just can’t imagine that we are not going to see a more robust job growth situation in.
Ric Campo: Yeah. I think the other thing that could help Houston a lot is the, when you think about the federal government spending, even though we have lots of supply coming on the supply is getting shut off. We know that’s happening right now given the current financial environment. And we have a tremendous amount of -- in Houston of federal money that’s coming here, be it via hydrogen, carbon capture, expansion of the port and just a lot of big government projects that are going to create a lot of employment over the next 12 months to 36 months with the massive amounts of spending from the Infrastructure Bill and The Inflation Reduction Act and that Houston should benefit big time from both of those.
Austin Wurschmidt: That’s helpful. Thanks for all the detail.
Operator: Our next question comes from Michael Goldsmith with UBS. Please go ahead.
Michael Goldsmith: Good morning. Thanks a lot for taking my question.
Ric Campo: Sure.
Michael Goldsmith: Our turnover was down 100 basis points in January and blended lease growth increased to 2%. Is that indicative of an upturn in trend? Maybe asked another way, is there any indication that demand has bottomed and how did top of funnel demand and conversion in January compared to December or prior months?
Keith Oden: So the question of kind of where we see demand, I think that the decline that we saw between November and December was far -- it was outsized compared to normal history. We normally see a decline in occupancy and rental rates from November to December, at somewhere around the 20 basis points or 30 basis points and this year it was wide of that by 40 basis points or 50 basis points on both metrics. So there’s clearly -- there’s something changed in the total amount of people seeking apart -- seeking to lease apartments between November and December that was a little bit higher than what we would have normally expected. There’s no doubt about that. I mean we have sort of kind of made the comment internally that it felt like people a lot of our runners went home toward Christmas holidays and a fair number of them stayed at home. So but look our trends have gotten better in January. Our traffic is sufficient to backfill and to maintain the occupancy and over time increase it a little bit. We did decrease our overall occupancy for the year of 2023 from where it was last year, but last year, we at historically elevated levels and we have modeled 95.7% in occupancy for 2023, which, again, by historical standards is really still quite strong for us.
Ric Campo: One of the things that was -- I will just kind of hit it in a really broad way, because and these data points that I am going to give you right now are just really hot off the press over the last week or two. As Keith pointed out, we felt definitely a -- more a seasonal situation during the fourth quarter. But it was also, as he said, it’s sort of like people just went away in December. And when you look at the stimulus and post-pandemic demand, right? And think about this, these numbers are pretty amazing. In 2021, the industry absorbed 600,000 net new units in 2021 in multifamily and that’s when we had the massive stimulus, lots of people have money and they moved out. If you look at the average between 2014 and 2023 or 2021, the average, there are about 150,000 people on average that made between 25,000 a year and 75,000 a year. In 2021, that number grew to 450,000. And so the same thing can be said for the 75,000 to 100,000 cohort, went from 100,000 people to 150,000 people. And then over 75 went from those were fewer, but you went from 150,000 people on average to 2.25%. And what happened was the whole market moved up in terms of people that had money because of the stimulus and because if you think about -- even if you lost your job during this pandemic, if you lost your job in 2008, 2009, you have got a fraction of your pay unemployment -- maybe 60% of your pay through unemployment insurance. The way that stimulus worked and the way unemployment was tweaked during the pandemic is you have got 110% or 115% of your pay when you lost your job. So you have this massive saving. It moved up a lot of people into the world that wouldn’t otherwise have been able to afford an apartment and they all moved out to apartments. If you look at 2022, we had a net absorption of 50,000 units, right? So you had -- we had really anemic absorption. A couple of other numbers that I think are really fascinating would be, in the fourth quarter of 2008, which was a really bad time in the world, we had a negative, this is national negative absorption in multifamily of 115,000 units. In the fourth quarter of 2022, which obviously, is a lot better than the fourth quarter of 2008, we had 181,000 net loss of apartment. So 115 to 181. The 181 was so big relative to the history. I couldn’t find a time, at least Keith and I have been in this business where the number was that big. And what happened, obviously, is that those people that moved up income wise have spent their money and move back and they stayed home up for Christmas instead of coming back and renewing their leases and that’s why when you start thinking about next year. I think next year, it’s going to be a good year ex some real bad recession side of the equation. But that’s why you can’t continue to have 14%, 15% NOI growth with double-digit revenue growth when the market is going back to a more normal market. We are just getting off the sugar high of everybody has money and can go out and do whatever they want including lease apartments.
Michael Goldsmith: That’s a very helpful commentary. And then in your guidance, there’s a wide range for development starts. So maybe what macro conditions would you look for that would drive you to the top end of the range versus maybe the bottom end of the range? Thanks.
Ric Campo: There are a couple of key points. One is that, if you look at what’s going on, the biggest sort of change in the market from a product perspective has been banks have really shut down construction lending. And with the uncertainty with interest rates, rents now are not going up fast enough to be able to offset the construction cost increases that we have had in the past. So you have a lot of models that show merchant builders dropping construction somewhere in the 40% to 50% range. If you look at starts today, they are around 0.5 million and so the folks we look at show that those starts going to like 250,000 by the end of this year, almost a 50% cut. So if that trend continues, then the way we think about the world is it takes 24 months to 36 months to build a property, you have great legacy land that makes sense for us to build on and we could deliver at a time where you have very low supply in 2026 and 2027 given the outlook for the supply to be reduced. The other thing we are starting to see is because most folks are do believe that that starts will come down dramatically this year, then you are starting to see price pressure moderate. We -- last year, there was probably -- in the last three years, construction costs have gone up over 30% to almost 40% in terms of cost. Now we are seeing it flat and then actually go down. So there could be an opportunity over the next six months where you do see some significant cost reductions and if we can get our costs down, and we believe fundamentally that supply is going to be down and the market will be pretty good in 2025 and 2026, then we are going to lean into that and that’s where we would be hitting the top end of our development range. If sort of the interesting part is if you think about, if you have a recession, then those starts will really go down this year and costs should come down even more. So that could allow well-capitalized companies like Camden to buck the trend and develop when merchant builders can’t and be able to position higher returns on developments than you would expect today in 2025 and 2026. So that’s how we think about it.
Michael Goldsmith: Thank you very much. Good luck this year.
Ric Campo: Thank you.
Operator: Our next question comes from Haendel St. Juste with Mizuho. Please go ahead.
Haendel St. Juste: Hey. Good morning out there. My first question is going back to the same-store revenue guide. Can you clarify for us the building blocks and how the math works? I am looking at your current midpoint of 5%, 5.1%, but also considering the earning, which I think was around 5% and the market rent growth assumption that you have in your supplemental of 3%. So assuming half of that gets us into the, call it, mid-6%s. So can you spend a moment to kind of clarifying the buildup to our sensor revenue and what are the swing factors to get to the upper and lower end? Thanks.
Alex Jessett: Yeah. Absolutely. So, first of all, you are right, the earn-in and we will call it the earn-in plus sort of the loss to lease that we think we can capture is about 5% and then we have market rent growth from December 31 of 2022 to December 31 of 2023 of about 3%. So, obviously, you can only get half of that. So to the 5%, you add the 1.5% and that gets you to 6.5% and that’s what we call net market rent. Then the driver is sort of the dilutive impact to that is economic occupancy. So we are making the assumption that occupancy comes down about 100 basis points. So you take the 6.5% and you back off the 100 basis points and that gets you to a 5.5% rental income growth. Now remember that rental income is only about 89% of our total property revenues. So if you take that 5.5% rental income growth and you multiply it by 89%, you get to about 4.9% and then the other 11% of our rental revenues comes from other income and think about water rebilling, trash rebilling, admin fees, application fees, those type of items and they are so closely correlated to occupancy. And they are also -- some of them are statutorily mandated to the amount that you can actually charge and so we are expecting that 11% to grow at about 1.5%. So if you multiply those two out, you get 0.2, you add the 0.2 you are 4.9 and you get exactly to 5.1%.
Haendel St. Juste: Got it. Got it. That’s helpful. Second question is on the $250 million of acquisitions and dispositions you outlined in your guide. I guess I am curious on how we should broadly be thinking about the timing in light of the sale transaction markets you outlined? Are you willing to wait for better cap rates or are you expecting better cap rates, getting calls from many -- getting more calls for merchant builders or sensing an opportunity there and then any markets that you are outlining that you are adding more to or calling from? Thanks.
Alex Jessett: So I will answer the timing and then let Ric and Keith answer the second part of it. But the timing of what we have in our model is we have got it towards the end of the year and we have got them offsetting one another. So there’s no net accretion or dilution from acquisitions or dispositions in our 2023 guidance.
Ric Campo: We just got back from NMHC and it was interesting, there were 8,500 registered people there are record for NMHC and that doesn’t include couple of thousand that don’t want to pay the fee, they just hang around the hoop, trying to have meetings with people trying to understand the market. And we sort of -- it was interesting because you had sort of three camps. You have the camp where the capital like -- people with capital like us and other portfolio managers and others and we were all kind of -- we are kind of waiting to see what’s going to happen. Then you had merchant builders who still are kidding themselves that they are going to start as many properties that they thought they are going to start this year. And there are some that are that are realistic, that are actually betting on a lower number than as projected. And then you have the brokers who are all very excited about getting back to work. When you look at some of the numbers that we heard January numbers, I heard one of the national brokerage group said they did about $1 billion of sales in January of 2022 and this year they have done $80 million. And so there is definitely a -- the market is frozen to a certain extent because you have this bid ask spread and I think as the market develops, capital, we will look to try to get reasonable rates of return. Like I said earlier, I think it might be where you are buying by the pound and knowing that, ultimately, you will be able to make a reasonable rate of return, but maybe not initially in terms of you might buy lease-ups and things like that, that don’t really have great return ship, you might buy at substantially below what we could replace it for today. So I do think that there is definitely a wait and see attitude and that, that will continue probably until there’s just more clarity. I mean, when you think about the Fed’s meeting this week, they -- I think most people believe like the 25% basis points, market like it. Interest rates came down and then all of a sudden [inaudible],you have 500,000 jobs a day and 10 years back to 350 and now we are back to talking about, well, what’s the Fed going to do now, right, a 50-year low on unemployment rate. And so there’s just so much uncertainty that it’s hard to get conviction and when I think the market gets conviction, then you will start seeing there’s plenty of dry powder out there and the question is who will blink first and I think it’s going to be the sellers that have to blink first. I am hoping that anyway.
Haendel St. Juste: I agree with that. Yeah. No. I agree too. I agree with your comments. I was at [inaudible] housing too and I did speak to a handful of people in the minority who thought that, well, maybe a better spring selling season and lower interest rates in the back half of the year could result in lower cap rates. Is that a scenario that you can envision, I mean, how do you think about potentially that outcome?
Ric Campo: Well, I guess, on the one hand, there’s a mountain of capital, right? And multifamily is a great business and people understand that. And so I guess if you have -- if the Fed can sort of thread the needle and doesn’t crash the economy and rates -- forward rates look like they are going to be in the 3% to 3.5% range, I think, you could argue that cap rates might either affirm dramatically or come down some. I think that when you look at the negative leverage that people have to put on their properties today. If you look at Freddie and Fannie spreads relative to the 10-year you are at about -- you are about 5%, 5.25% and if you are going to buy a 4% cap rate, you got 150 -- 100-basis-point to 150-basis-point negative spread there and you got to figure out how do you get that negative leverage dealt with. And if you want to fix a 6.5 to 7.5 unlevered IRR, you got to bet on some pretty strong growth or falling cap rates in the future to ever make those numbers work. So there is a scenario, for sure, but it’s -- right now I wouldn’t bet on that scenario.
Haendel St. Juste: Thanks for the time and your thoughts.
Operator: Our next question comes from Alexander Goldfarb with Piper Sandler. Please go ahead.
Alexander Goldfarb: Hey. Good morning down there.
Ric Campo: Good morning.
Alexander Goldfarb: So two questions -- good morning. Two questions. First off, on California, just especially in light of what LA recently did, do you -- has your view of that market changed, I mean, I have asked you the question over the years about California and there are a lot of good qualities about Southern California lifestyle, et cetera. But it seems like the conditions there for landlords get tougher, tougher every year, now uncertainty with the good cause and whether or not further rent infections whatever. Is that a market that you still believe in long-term or your view has changed in the past year where you are like, you know what, it’s not the market that we thought it would return to, you mentioned 500,000 people returning, I mean, sorry, leaving that -- eventually that’s something that we have to strategically assess?
Keith Oden: Yeah. So, Alex, we -- the last two years as -- and all the trials and tribulations that have come with restrictions and the eviction moratorium, et cetera. Those have been -- to me those have been a distraction from the bigger picture. California has had a challenge and has been a challenge to operate in for not just the last two years but for the last three decades or two and half decades anyway. And so there’s a -- you have to kind of get your mind around the fact that it’s a different regulatory regime. Everything is going to be trickier. Everything is going to be a little bit stickier in terms of moving forward on new initiatives, et cetera. But that’s something that we have lived with for 20 years. And we know how to do it. We are good at it. We have a very seasoned team in California that knows how to navigate their way through normal -- the normal regulatory morass in California. The last two years have been an exception to that for sure. But I do believe and we believe as a team that at the end of the -- at least the eviction moratorium and the ability to get control of our real estate is coming to an end. And they -- I know that they said, I swear to God, this is the last time we are going to extend it. But I do believe that the LA County extension for this last two months came with a very public announcement supported by virtually the entire council that said, we are going to do this and then really and truly no kidding, this is the last one. So whether it is or it isn’t and whether it goes on for another two months beyond that, and the big picture of having operated out there for almost 20 -- over 20 years, I don’t think you can -- in a business like ours, given the nature of our assets and the long-term commitments that we make. I don’t think you can kind of just get emotionally wound up about what craziness the last two years have been. I think if you look beyond that, California is actually a really good story in terms of being a landlord, because it’s just as difficult as it is to run properties, it’s 3x difficult to build properties in California. So it’s kind of like you -- the new supply challenge is not going to be what it is that we have to deal with in our other markets. So California will -- I guess I am a little more optimistic than most people that will reach a tipping point in some of these places where sanity has to prevail and maybe we don’t end up with the continued hemorrhage of out migration from California and things get more on a normal track. If that were to happen, you would get a great return in demand. You haven’t had any meaningful amount of replacement or new product built in the last four years in terms of new starts. I think it could end up being a really good operating environment once we get past this two and half years of crisis.
Alexander Goldfarb: Okay. Second question is and Ric, you guys are always sort of the speaker on regulatory policy, obviously, we all know what the White House put out. In your view, does this make Fannie, Freddie debt less attractive if borrowers think that the government is going to use them to effect change? And second, the CFPB and FTC obviously have broader regulatory powers to go after all apartments do you fear that this is going to be some sort of overreach or your view is there are local regulations that already regulated apartments are already so tough that it’s really hard to really sort of up the ante, if you will?
Ric Campo: Yeah. So on the first question with Freddie and Fannie, I don’t think it’s going to affect it that much, because when you look at those guidelines it’s -- they are really targeting lower income and trying to help there. I mean one of the things that people don’t realize is when you think about the attacks that the multifamily business are getting, you have to think about who the largest entities or that evict people or public housing agencies, right, federal government and so not market rate companies like Camden. Just to give people a sense to, by the way, in a normal time, where we try to keep our residents as long as we can. We work with them to create value for them and we work on payment plans. In a normal time, out of 60,000 apartments, we may be evict 600 people a year. And a lot of those evictions are people not monetary defaults, but the persons like has a dog to bit somebody or is disruptive to their neighbors. So I feel pretty good about long-term that we are not going to be under siege. Clearly, for a politician, when rents go up 30%, they scream for rent control and they screen for, oh my god, there’s bad people doing thing. It’s almost like the -- when energy prices go up and gasoline is $4.50 a gallon, they think the energy companies are the villains, right? But it’s really supply and demand driver there. I think the -- we do have to be vigilant, though, because it is a politically expedient oftentimes to just say, well, we will put a cap on and we will do rent control, because that will help constituents. But ultimately, we all know that and there’s lots of economic analysis on this, both left and right think tanks all think that rent control stifle supply, which ultimately creates the problem for folks. Good news for Camden is we are in the markets we are in. We don’t have a lot of major regulatory targets on us and I think that a lot of the -- even like when you look at Florida, for example, where a couple of the markets have tried to put in rent control. I mean they are just getting massive push backs from both legally and from the state houses. So we do need to be vigilant, but I don’t think we are at risk of having some massive government making us do stuff.
Alexander Goldfarb: Thank you.
Operator: Our next question comes from Chandni Luthra with Goldman Sachs. Please go ahead.
Chandni Luthra: Hi. Thank you for taking my question.
Ric Campo: Sure.
Chandni Luthra: The first one is on TRS acquisition, so with the benefit of hindsight, as you think about the different moving pieces, especially around higher interest expense now versus at the time of the transaction. How would you qualitatively think about this deal now and the net accretion from it, especially when you consider the dynamic that has also increased your exposure to markets like Houston and DC that, as you mentioned, are your B-ish, B- kind of ratings in sort of the whole deck?
Ric Campo: Well, I think, the acquisition is still a great acquisition. At the time we financed it with equity, mostly equity, we had $600 million of cash and we executed a large equity transaction to pay for it. And so, ultimately, when I think about that portfolio, it was a very low risk acquisition for us, primarily because we either built them or bought them. We operated them, so there was really no transition risk or no, oh, gee, got you risk, because you didn’t know what was going on with those properties since we clearly knew everything that was going on with those properties and so from an accretion dilution perspective, it was accretive in 2022 and it’s accretive in 2023.  When you look at or the walk that Alex showed in went through in our press release, the broader interest rates going up were a drag on our FFO, not as a result of that transaction per se, it was bonds coming due, they were at three, did some change that we are having to finance, at five we have some change now. So I think it was a very good transaction for us. Ultimately, we would have had to unwind that portfolio, because we had a 2026 kind of timeframe where we would have to sell the assets and so to be able to acquire really high quality properties with very little transaction risk was really attractive to us. To the issue of longer term, we want to lower our exposure in DC and Houston and the Fund transaction actually increased our exposure to Houston is -- we were willing to sort of delay that a bit to be able to acquire those quality properties. But, ultimately, we are going to grow our way, either grow or out or dispositions and acquisitions in other markets to be able to lower those exposures. And really, it’s all about trying to become more geographically diverse so that we can have less volatility in our cash flow and that’s sort of one of the reasons why we wouldn’t exit California right now, because it’s a good ballast and also could be great upside over the next couple of years once we get out of the pandemic issues. So, yeah, we will continue to focus on being more diverse around the country and move assets around. If you think about from 2014 through 2020 -- roughly 2020, we sold over $3 billion of properties and moved the portfolio around pretty dramatically during that time and changed our geographic footprint and we will continue to do that. So, hopefully, in this in this environment when buyers and sellers get closer together, we will be able to execute some of those sales and acquisitions to move to continue to diversify our portfolio.
Chandni Luthra: Very helpful. Thank you for that. And as a follow-up, as we think about occupancy in 2023 and the dip that you guys talked about, how much of it is emanating from higher supply versus you guys perhaps prioritizing pricing over occupancy? And then as we think about California in this mix down the line, as you said, a couple of mixed months down the line, you would be perhaps thinking about looking to get back your real estate from tenants who are not paying currently, how would you put that in this mix of how occupancy might develop?
Keith Oden: Yeah. So we are modeling occupancy that’s 95.4% for plus or minus for 2023, which compared to our long-term average is about where we would like to operate the portfolio in any case. We have certainly been higher than that for the last couple of years. But as Ric described, the drivers of demand that sort of made that happen were very unusual and probably not likely to, hopefully don’t see that kind of demand driven for that reason at any time in the near future. So I think we will -- I think we use -- we are pretty strict revenue management shop and the levers that you can pull are the primary lever is pricing to try to adjust your occupancy to maintain in the in the mid-95% -- mid- to-upper 95% range. So we will continue to take those recommendations from YieldStar. We think the inputs to the model, both on the looking at the new supply, which we know is going to be a headwind. We think we have properly accounted for that in our forecast. But the -- ultimately, it’s -- it will come down to the conditions on the ground in each individual market as viewed by the YieldStar model in terms of where the pricing actually falls. So, in California [Audio Gap] is likely to happen. That doesn’t -- that in itself doesn’t solve the issue of getting real estate back, you still have to go through a legal process to affect an eviction. And unfortunately, in California and several of our other markets, even those where they have long since given up on the moratorium, they are still struggling to catch up with the process of going through a legal eviction. So we are prepared to do that. We are expect to be first in line to pursue evictions, but we just know that it’s going to be some lag between, okay, we have lifted the moratorium, now you can begin the process, which in some cases, can take 30 days to 90 days depending on the jurisdiction. So it will be -- I think even after March 31, it will be a little bit of a drag in terms of time to get our real estate back. The flip side of that is, is that we think that once the gig is up for the non -- for the rent strikers that they may choose to just move out voluntarily before we evict them, because they know there’s the end is in sight and that’s something that they haven’t had to contemplate for the last two years.
Chandni Luthra: Thank you for all that detail.
Operator: Our next question comes from Rich Anderson with SMBC. Please go ahead.
Rich Anderson: Hey. Good morning our there. Thanks for hanging with us.
Ric Campo: Hi, Rich.
Rich Anderson: So you are driving around the country, I am curious to know how is the market clearing that gets you to where you are at with revenue growth at 5.1% versus last year, obviously, we are all expecting deceleration. But is these landlords like yourself and others kind of sort of slow playing it, because of the uncertainty that lies ahead or are you seeing some sort of behavioral shifts with residents that’s causing the market to clear -- where it’s clearing and it kind of all comes down to market rental rate growth, what you are assuming for this year at 3%. Is there a chance that we do have this soft landing or no recession or whatever you want to call it, if that market rent growth number could be something much higher than 3%?
Ric Campo: Sure. That’s why we have a range, right? I think and what the upside in our guidance could clearly be occupancy. I mean if you have a very positive -- the job number today was eye-popping, obviously. And if you -- if the Fed can thread the needle and keep job growth going and have a soft landing, whether it’s a landing and you keep the consumer going then, yeah, I think, our -- you have two parts of upside in that guidance. One would be the rate, right, the 3%. The other would be we probably beat our occupancy numbers. And the occupancy number is probably the one that is the -- when you think about -- when I think about those numbers, the earning is the earn-in, the 3%, that’s what most market pundits are putting out there. And then the occupancies where we could be more -- could be too conservative given an outcome that you just -- that I just described and so there are two places where you could beat and those are really the two.
Rich Anderson: So I guess the question is, is this proactive from you or are you seeing behavioral shifts from your residents that are landing you where you are at now? MAA said they are not seeing any behavioral shifts with the residents that they are really more focused on the macro and that’s what’s driving where there is landing right now, is that a consistent theme for you guys?
Ric Campo: I would say that based on the numbers I said earlier, where you had a negative absorption in the fourth quarter of 181,000 units in America, that’s consumer behavior. Those are people staying home for Christmas. Those are people who got paid, all kinds of big stimulus money, had cash coming out of, because of forced savings and decided to go out and run apartment and then they spend that cash and now they are going, what am I going to do, maybe the economy is uncertain, and I am going to go back to a live with mom and dad or double up and try to save money again. And I think that consumer behavior is clear that, that has happened and we went from, like I said, 600,000 positive net absorption in 2021 and it was 50,000 in 2022 and the 50,000 when you think about it was all in the first half of the year. And if you look at the positive absorption was all in the first half and the second quarter you started having kind of flat, third quarter you had negative some and then in the fourth quarter you had a big negative. And so I would say that is a definite consumer behavior issue that’s out there and I don’t think you can ignore it. Our view -- and that’s why we came out with occupancy falling and rent being moderated and it’s just -- and it is based on also a less robust economy in 2023.
Keith Oden: And Rich on the consumer behavior…
Rich Anderson: Okay.
Keith Oden: … side, one of the stats that we gave in our prepared remarks was people moved out to purchase homes, which was about 13.8% for all of last year. Just to give you a refresh on that number in the month of January, that number dropped 10% -- just over 10% move outs to purchase homes. And my guess is it falls below -- falls into single digits by next quarter and we have only seen single digits on that staff for maybe two consecutive quarters during the middle of the great financial crisis. And so, I mean, we are getting to some pretty uncharted territory in terms of housing affordability and the willingness and ability of people to move out of apartments to buy homes and I don’t think that’s -- I think we are at the beginning of that cycle.
Ric Campo: It’s clearly a positive on side…
Rich Anderson: Okay.
Ric Campo: … obviously. Go ahead, Rich.
Rich Anderson: Yeah. I am sorry. I mean…
Ric Campo: Okay.
Rich Anderson: I anxious to get through the call here. One real quick question for Alex, if I am doing the numbers right, you are variable rate debt exposure went from 6% last quarter to 15%. I know that you had the deal, the $550 million of secured debt. Is that a number 15% that we should be expecting for the full year or do you expect something to maybe right-size your rate debt exposure in the coming months and quarters? Thanks.
Alex Jessett: Yeah. Yeah. Absolutely. So in our guidance, we are not assuming any capital transactions. Obviously, we are watching the market closely. Rates have been coming down until this morning and spreads have been tightening. So we are watching that closely. If we have the opportunity, we will take out some of this floating rate debt with fixed rate debt. But at this point in time, we are sort of operating under the thesis that interest rates are going to come down as we go through the year and based upon that it probably makes sense to push out fixing rates really as long as we can. So that’s what’s baked into our model, as I said, we are going to be opportunistic though and if we see an option we will take it.
Rich Anderson: Okay. Fair enough. Thanks. Thanks, everyone.
Keith Oden: Yeah.
Operator: Our next question comes from Wes Golladay with Baird. Please go ahead.
Wes Golladay: Hey, everyone. Thanks for taking the time. I just want to follow up on that last question, if I understand it correctly. So it looks like you can borrow today around 4.5% and have a 1% interest savings on that floating rate debt. Would you have a penalty to pay that off, and I guess, that would just be upside to guidance if you were to take it out today, but it sounds like you just want to be a little bit more, I guess, aggressive at this point, and I think, you get a little bit lower than the 4.5% I just cited?
Alex Jessett: Yeah. And I will tell you, I mean, spreads came in this week alone about 30 basis points, and so if you would have asked me on Monday, I would have told you number was 48, 45 this morning, and so obviously, that’s heading in the right direction. But we want to see -- we want to see where rates continue and whether or not we can get any better on that. On the floating rate debt that’s associated with the Fund transaction that we assume there is a 1% penalty. Obviously, 1% is really not that much, and certainly, that can go into the math pretty easily. When we look at what’s on our line and what’s on our term loan, there is no penalty. So that really does give us tremendous flexibility and if this -- if the unsecured market continues to improve, there is some potential upside there.
Wes Golladay: Okay. And then going back to Houston, I think, you cited supply of 15,000. Is that -- a lot of that supply directly impacting your portfolio and then if you were to look out to next year, would you expect supply to be comparable for now?
Keith Oden: So actually most of the stuff that is being built in Houston right now is not directly comparable with our portfolio. Some of it is obviously the Downtown assets and Midtown assets, there’s been a reasonable amount of construction in both of those submarkets. But our portfolio in Houston suburban and there really just hasn’t been that much new supply built in the suburban markets in Houston. It just gotten started maybe a year and a half ago and now it’s slowed considerably in terms of new starts. So I think we are -- as with most of these markets, when you see a scary headline number, on completions. A good example would be Austin, there’s 20,000 apartments that are set to be completed in Austin this year and kind of headline number just it’s sort of you got to take a double take when you see at 20,000 starts in a market like Austin. But when you really go through the geography of where our portfolio is, such a big amount of that is in or around the Downtown area and we literally have one community that is impacted by all of that. So if -- and if our portfolio were heavily oriented to Downtown either in Houston or Austin, it would be a much greater concern than what -- than what I think it’s actually going to be. Obviously, all supply in the market matters, but it’s like throwing rocks in a pond at the margins, if it’s not near you, it raises the water level a little bit, but it’s not a huge issue unless it happens to be in the particular submarket where your assets are located.
Wes Golladay: Got it. And just to follow-up on that, was it going to be -- do you think it accelerates next year or is it comparable down…
Keith Oden: So…
Wes Golladay: … any early view on that?
Keith Oden: Yeah. On -- for Houston starts, or excuse me, completions next year, we have it at 19,000 apartments completions and that’s sound about…
Wes Golladay: Okay. Great.
Keith Oden: …right.
Wes Golladay: Okay. Thanks for the time everyone.
Ric Campo: Sure.
Operator: Our next question comes from Joshua Dennerlein with Bank of America. Please go ahead.
Joshua Dennerlein: Yeah. Thanks everyone. Just wanted to touch base on -- I appreciate the build from 2022 to 2023 FFO guidance at the midpoint. I just wanted to touch on that amortization of net below market leases from the Fund acquisition. Is that like something we have to factor into in 2023 or is it fully out now that we have kind of lapped 2022? Just trying to get a sense of how we should be modeling this going forward?
Alex Jessett: Yeah. It is fully out. There is absolutely nothing in 2023. So the variance that you are looking at is the $0.07 that we recognized in 2022 as compared to zero in 2023.
Joshua Dennerlein: Okay. Okay. Appreciate that, Alex. And then maybe touching base on the markets, Phoenix seems like it’s kind of some of my screens, it looks like maybe it’s a market that’s weakening. It was interesting to see your occupancy went up sequentially. Could you kind of just provide more color around what you are seeing on the ground and how many of your portfolio is positioned versus maybe some new supply and kind of how...
Keith Oden: We have got -- we have completions in Phoenix for 2023 of 15,000 apartments, employment growth in Phoenix next year is about 26,000 jobs. So that’s a little bit out of equilibrium in terms of job growth to new deliveries. Although the new deliveries are actually -- have actually come down pretty substantially from where they were in the previous year. So I think Phoenix is -- we have it listed as an A- market and moderating. So I think that’s or excuse me, A- and stable, so that seems about right for the overall operating environment in Phoenix.
Joshua Dennerlein: Okay. Appreciate the time.
Operator: Our next question comes from John Kim with BMO Capital Markets. Please go ahead.
John Kim: Thank you. On your same-store revenue guidance this year, I appreciate the breakdown. But one component that seems to be missing is the renewal rate growth, especially since debt renewal versus new lease rate spread widened in the fourth quarter, and again, even more so in January. So I guess my question is what’s the good run rate for that renewal versus new lease spread and how is that factored into your guidance this year?
Alex Jessett: Yeah. Absolutely. So, for the full year, we have got renewals up about 4.9% and new leases up 2%. When you blend that out, that gets you to about 3.5% and that 3.5% picks up the market rent plus the about one-third of the loss to lease that we said we would capture. So if you think about the sort of renewal component that you were addressing, that renewal component is what you are going to find and is captured in that loss to lease and so that’s what we are saying is that we are going to get we will get about a third of that based upon timing and then based upon leasing strategies.
John Kim: So when you say market rental growth of 3%, that’s not reflective of the 2% release growth rate? How do those two tie in together?
Alex Jessett: Yeah. So market rental rate is going to be the rental rate that we expect December 31, 2023 as compared to December 31, 2022, right? So you are going to pick up that component. And then the renewals, if renewals are coming up to market, that is effectively what you are picking up in the loss to lease and then the new leases if people leave and you are backfilling them, that’s also getting picked up in the last lease.
John Kim: Okay. Appreciate it. Thank you.
Alex Jessett: Absolutely.
Operator: Our next question comes from Robyn Luu with Green Street. Please go ahead.
Robyn Luu: Good morning. Alex, I noticed Texas and Florida market trended double-digit expense growth this quarter. Are you basically similar expense throughout 2023 for these markets?
Alex Jessett: Yeah. So when you see that, a lot of that is due to the timing of property tax refunds and sort of how that flows through the system and so, no, I would not expect that to be a sort of run rate type item.
Robyn Luu: I mean property taxes are expected to be fairly high. I know you pointed to about 2.5% for the portfolio this year. But Texas and Florida property seem a little bit higher. So if not double digits, do you see the states to print in the high single-digit range?
Alex Jessett: No. And if you think about the states that I specifically called out for having higher property taxes, you do have Florida, but Texas was not one of them. So you have got Florida, you have got Georgia and you have got Colorado. And those are the markets that we are anticipating having higher property tax expense and so that’s where, if we are averaging 5.5% and property taxes make up a third of our total expenses, those markets that are going to have the higher growth in property taxes are going to have the higher expense growth. So, yeah, I would expect that once again in Florida and then Georgia and Colorado.
Robyn Luu: That’s clear. And then I want to talk about the DC market, how is front door traffic in trending in DC relative to the portfolio average? And are you seeing any signs of people starting to migrate to the suburbs or even out of state?
Keith Oden: We certainly have seen some out migration from DC, particularly the DC proper as opposed to DC Metro. It’s not anything like we have seen from New York or California, but I would say at the margin, yeah, we do get -- in terms of folks that show up in Atlanta for relocation purposes, it’s certainly in the top three or four from destinations. So, I think, again, more DC proper than the suburban areas and a lot of that is just driven by employers and where you happen to be your office is located in DC proper, people have been very reluctant to return to their offices, because they have been allowed us to basically work from anywhere. And if you can work from anywhere in DC proper is probably not in your top 10 places to work from if you have complete flexibility. So, yeah, I think, it’s -- we have three assets in DC proper and we certainly have seen more of that from those two assets than what we had seen prior to COVID, for sure.
Ric Campo: But compared to LA, for example, Washington, DC has positive net in migration over the next three years compared to 350,000 out migration. So it’s not as -- you don’t have the back door open as big as you do in DC versus any of the other California markets.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Ric Campo for any closing remarks.
Ric Campo: Thanks. We appreciate you all being on the call today and if you have any other questions, we will be around. So just give us a call and we would be happy to give you more detail. Thanks.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.